Operator: Good day, everyone, and welcome to the LATAM Airlines Group earnings release conference call. Just a reminder, this conference is being recorded. LATAM Airlines Group earnings release for the period was distributed on Thursday, May 14. If you have not received it, you can find it in our website, www.latamairlinesgroup.net, in the Investor Relations section. At this time, I would like to point out that statements regarding the company's business outlook and anticipated financial and operating results constitute forward-looking comments. These expectations are highly dependent on the economy, the airline industry and international markets; therefore, they are subject to change. Now it is my pleasure to turn the call over to Gisela Escobar, please proceed.
Gisela Escobar: Great. Thank you very much. Good morning, everyone. Thanks for joining the call. I wanted to introduce you the people that are on the call with me: Andrés Osorio, who as you know is the Chief Financial Officer of LATAM; as well as Claudia Sender, who is the CEO of TAM in Brazil; and Nicolas Goldstein, who is in charge of the international passenger operation. So if you turn to the slide presentation that we have on the webcast, we're going to walk -- go over the numbers that we published last night for the first quarter 2015 financial results. Before we go straight into the numbers, I just wanted to mention a few brief introductory remarks. And as you're all aware, during the first quarter and really the first few months of this year, we have been seeing a fairly challenging macroeconomic environment in South America. We've seen important devaluations in all of the local currencies in the region, the Brazilian real, the Colombian peso, the Chilean and Argentine peso as well as the Peruvian currency. So all of these have had an impact on our unit revenue numbers especially for our domestic operations as well as for demand on international routes. And on the other hand, we've also been seeing, as has already been the trend for the past quarter, a decline in corporate demand in the Brazilian market as a result of the macro environment in Brazil. And also, the macro environment in general in that country has been affecting demand for international travel as well as for the cargo business. So considering that environment, we're very happy with our first quarter numbers. We think that we were able to successfully manage this difficult and complex environment. We had, obviously, certain external positive impact like the 40% decline in the price of fuel. With fuel at $2.09 per gallon in the first quarter, that was a significant decline versus what we had in first quarter 2015 and generated, as you saw in our P&L, savings of approximately $300 million. In addition to that, we're also positively impacted on the cost side by the devaluation of the local currencies for the portion of our costs that are denominated in those currencies, which are approximately 40%. So that may -- that gives us also a competitive advantage especially when we compare ourselves to our international competitors who's comps are, for the most part, U.S. dollar denominated. And then finally, we're also seeing the positive effect of our cost control initiatives, which we have already been discussing with you for the past couple of quarters, where we have in place a cost control program that looks to reduce our cost per ASK on ongoing basis over the next 3 years. In addition to that, during the first quarter, we've continued to make progress on a series of other initiatives that have to do with improving our customer experience. And also that we continue to progress in terms of our network initiatives, where we are consolidating our hub strategy within the region and leveraging our network to provide the best connectivity within, to and from South America. And we also continue to make progress with our fleet renewal that results in improved efficiency in terms of our cost per ASK on the fleet side as well as an improved passenger experience as we incorporate these new and modern aircraft into our fleet. So with all of this, we feel that the first quarter numbers were good solid numbers and that we feel we're in a good position going forward to offset some of these negative effects that we're seeing in the macro environment. If we look at our first quarter numbers overall, you can see that we had a decline in terms of revenues of approximately 12%, and that was more than offset by reduction on the cost side. So overall, our operating costs were down 16%, and that resulted in an improvement in terms of our operating margin, which reached 8.1% during the first quarter, which is more than double the 3.5% that we had in the first quarter of 2014. In terms of our EBITDA margin, this was 21.3% in the quarter, significantly higher than the 15% that we showed in the first quarter of 2014. When -- if you look at Slide #3 in the presentation, you can see that on the net income side we presented a net loss during the quarter. This was most -- was mainly due to the fact that we had the noncash foreign exchange rate effect as a result mainly of the devaluation of the real. We closed December 2014 with an exchange rate of BRL 2.66 for the real, and we closed March with an exchange rate of BRL 3.21 for the real. So the mark-to-market of the balance sheet, especially to the -- to this exchange rate, results in a noncash loss that amounted to approximately $200 million during the first quarter. If you turn to Slide #4, looking here at the revenue performance in our different passenger businesses, you can see that as a whole we had a slight increase in our ASKs. We have been, as you know, during the past couple of years reducing  overall our capacity. And during the first quarter, we have -- we're seeing some growth, especially in our international passenger business where ASKs were up 2.4%, and on the domestic Spanish-speaking operations where our ASKs were up 4%. So as a result, total capacity for our operations were up 2% in the quarter. Traffic was up somewhat more than that, and that resulted in very strong load factors of 83.4% overall in the quarter, which is almost 1 point higher than in the first quarter of 2014. Load factors were up in all of our passenger operations. When we look at the revenue per ASK numbers, on international passenger routes revenues per ASK were down 8%. This is mainly a result of yield pressure, and that is sort of a continuation of what we were already seeing in the fourth quarter of last year. We're seeing a decline in terms of the -- or let's say, weaker passenger demand for international routes, especially out of Brazil, as a result of the volatility in the Brazilian exchange rates. And we are compensating some of that with changing our point of sale mix in the region and moving sales to other countries -- international sales efforts to other countries in South America, where demand continues to be strong. So with that, we've been able to offset some of the decline. On the domestic Brazil operations, our revenue per ASK in U.S. dollar terms was down 19.6%. If we look at this number in Brazilian real, the revenue per ASK was down approximately 5%. So a large part of this decline has to do with the devaluation of the Brazilian currency, and the 5% decline in local currency has more to do with the weaker corporate demand that we've already been seeing in the past few quarters. When we look at the domestic Spanish-speaking countries, we have a 4.1% reduction in revenue per ASK. This is a very good number when you consider the devaluation that we've been seeing in local currencies. In Chile and in Argentina, the local currency devalued by approximately 13%, 14% and in Colombia by approximately over 20%. So when we look at the numbers in U.S. dollars, it includes that depreciation, meaning that the yield in local currencies were actually up during the quarter despite the lower price of fuel. So this has resulted in strong margins for these businesses during the first quarter of this year. If you turn to Slide #5 to talk a little bit about the costs side. What we've been seeing here in general is a decline in really practically all of our cost lines. If we look at our costs excluding fuel, we have on the wages and benefit side a 4% decline. Part of this has to do with the devaluation of local currencies since a part of our wages and benefits -- a significant part is denominated in those currencies. And if you look at our other cost lines, basically, we have a 5% reduction in terms of aircraft costs, which includes depreciation, which includes aircraft rental costs and maintenance expenses as well. And a 13% decline in all the other costs line. So x fuel, that puts our cost per ASK approximately 10% lower than what we had during the first quarter of 2014. If we add to that the 30% reduction in fuel prices, our cost per ASK overall was down 17%. Now there's a couple of things that we wanted to highlight in terms of our ongoing initiative for the year. When you look at our network, what we're showing here on Slide #6 are the -- some of the new routes or additional frequencies that we are adding during 2015. Our growth for this year is very much focused on strengthening our hubs and on better feeding the hubs that we've defined in the region, which are, as you can see on the map, basically Sao Paulo Guarulhos; a strong hub in Brasilia, especially for -- now for the domestic operations in Brazil; a strong hub in Lima for a connectivity within the region and for long haul routes on the West Coast of South America. And also, as we announced during the quarter, we are doing right now the feasibility analysis for the development of another hub in the Northeast region of Brazil. And that have basically explored the -- is a very efficient way to better connect that region of Brazil especially with Europe, which we can serve very efficiently from that geographic location. We turn to Slide #7. We've also made progress on the customer experience aspect. We have during the first quarter launched a new VIP lounge in Santiago. So it's an initiative to improve the passengers' experience before the flight. And this is the largest lounge in South America, and it is significantly improved versus what we had in Santiago previously. And we've also started to test single check-in counters in certain airports. For now we have them in Miami, Madrid and at Sao Paulo airports, where you can have a single check-in counter to check in both LAN and TAM flights. On the flight in terms of once you're on the aircraft, we are advancing in terms of improving the inflight entertainment options, specifically we're in a project to install wireless inflight entertainment, where passengers can access the LATAM's entertainment system through their own devices with access -- this is especially important for narrow-body aircraft where we don't have single screens for all the passengers. We have that so far in 10 of our narrow-body planes, and that should be finalized during the course of this year on all of our narrow-body fleets. And finally, we continue to invest in terms of digital solutions for all our passengers so that they can have better connectivity to manage their own flight status and to be better informed especially in the event of contingents. Another aspect that's very important from the perspective of our passenger experience has to do with the on-time performance. We continue to have very high levels of punctuality throughout our network. We've had significant improvements during the first quarter compared to last year. The first quarter of 2015 in Brazil our on-time performance with the 15-minute standard reached 84.4% and on international boost 82.5%, both significantly higher than in the first quarter of last year. And in the Spanish-speaking routes, we saw a slight decline. This still has the highest on-time performance of all of our operations, but at 86.1%, it's somewhat lower than what we saw in the first quarter last year. That is -- has a very specific explanation that has to do with the volcano eruption that we had and with specific weather issues during the month of March that affected the punctuality in the domestic Chile operations. So if we look just at the domestic Chile numbers, that was down from around 92% in 2014 to almost 88% in 2015. Moving on to the next slide. Another important aspect that we continue to be focused on and that we have continued to make progress on is the continued renewal of our fleet. So even though our ASKs are up only 2%, we have taken delivery of newer aircraft and are phasing out of our fleet the older families of aircraft. If you look at our short-haul fleet this quarter compared to the first quarter of last year, there's 2 types of aircraft that we have completely phased out, basically the Dash Q400s and the 737 fleet that we used to have in Colombia. And we are reducing also a little bit the number of A319s and A320 classics in favor of the A321, which we have increased by 10 in the first quarter compared to last year. And on the part of our long-haul fleet, we have -- we continue to phase out especially the A330s and the A340s in favor of the newer technologies. And the main change here is that we have increased by 7 our Dreamliner fleet. Two of those deliveries are 787-9s, which are the first 2 deliveries of those aircraft in Latin America that we are already flying on the Santiago-New York route. This new fleet, obviously, has an important benefit from a cost per ASK perspective, with the new technology being between 15% and 20% more cost efficient on a cost-per-ASK basis than the older technology. And obviously, an important -- important from the passenger experience perspective since they have, obviously, all the new and modern interior. Another important element to highlight for this quarter is that actually just yesterday we priced our -- the EETC -- our first EETC issuance. This was a $1 billion offering that allows us to finance 17 aircrafts that we'll be delivering in the second semester of 2014, up to and including -- sorry -- the second semester of 2015, up to and including the first quarter of 2016. So with that, we fully financed our aircraft deliveries until the first quarter of 2016, which is very good news. This is also a landmark transaction for us. It's the first EETC issuance in Latin America. There's only 5 or 6 EETC issuances that have occurred outside of the United States. And of those, this is the largest one at $1 billion. And the coupon on these offerings were 4.2% for the A tranche and 4.5% for the B tranche. And finally, we just wanted to reaffirm our operating margin guidance for this full year. Although the estimates that we had in terms of the macro environment, the fuel price and the exchange rate that we had when we gave this guidance in early January of 2015, those numbers have changed. We still feel comfortable that with the current macro economic backdrop and with the current fuel prices, we can reach this guidance of between 6% and 8% for the full year 2015. We maintain our ASK growth numbers at between 2% and 4% for the passenger business, and we have slightly reduced our cargo ATK growth numbers to a maximum of 0%. We're looking at possibilities of even reducing our cargo capacity by anywhere up to 2% during this year going forward. That reduction would occur mainly with our freighter fleets. We are operating 15 freighter aircraft currently. We actually have 15 freighter, but we are operating 12, 3 of them have been subleased to another operator, which is operating them outside of South America. And we continue to look at opportunities to sublease additional freighter capacity. So we're-- what we expect to do is basically offset the additional belly capacity that we're seeing from the growth in our international operations by a reduction in our freighter capacity during this year. That concludes all of the prepared remarks that we had for now, and we'll be happy to take any questions that you may have.
Operator: [Operator Instructions] The first question comes from the line of Savi Syth with Raymond James.
Savanthi Syth: Just on the cargo front, I was wondering is the -- kind of -- the comment about the products, decreasing product export, if you can clarify what that was?
Gisela Escobar: Sorry, the decrease? I didn't really get the question, Savi. Can you repeat it, please?
Savanthi Syth: Sure, in the press release, I think there were several kind of factors discussed in the cargo front. And I think there was a mention of some certain products, the exports declined, and I was just wondering what that was.
Gisela Escobar: Oh, well, the main -- so most of it has to do with sort of just the general competitive environment in cargo where we've been seeing an increase in capacity, having to do mainly with the increase in passenger flights to the region. The long-haul aircraft obviously have freight capacity, so that has created some overcapacity in the region. And in terms of the product, what we are mostly referring to and what has been mostly an impact has been fee [ph]. So we have certain seasonal products in cargo that are very relevant during certain months of the year. And where we've seen the biggest change, already last year and this year as well, is that during the months of was March and April there's certain -- there are certain seasonal products that are strong, having to do with perishable exports from the region as well as fee [ph].
Savanthi Syth: Got it. And just could you remind us like the cargo mix evolution of that? And maybe is it possible to provide just as you increase the belly mix what kind of a contribution that could be to the margins?
Gisela Escobar: Well, the -- obviously, the belly part of the cargo operations is a much -- is a more significant contribution because all the cost are already -- there's basically a fixed cost. There's only a very slight increase in costs to put belly into -- to put cargo into your belly that have to do with the additional freight handling at airport and with the marginal additional fuel that you need on the passenger flights to carry cargo in the belly. So as we increase -- as we basically weigh our cargo more towards having -- focusing more on the belly than on the freighters, the overall contribution of the cargo business to the overall LATAM results will be high, because basically it's just ancillary revenue when you look at the belly operations. The issue is that you need to maintain a certain amount of freight operations in order to feed that belly capacity. So we don't necessarily have cargo at all the different points that you fly to on the passenger side. So we need to maintain a certain amount of cargo flights in order to make sure that we can move cargo around the region to have it available to put on the passenger planes wherever they're departing from.
Savanthi Syth: Got it, Gisela. And if I may just ask one last one. Just on the cost side, is it possible to kind of disaggregate how much benefit in the nonfuel cost came from currency and just how much came from the cost initiatives? And maybe what the -- kind of the contribution from cost initiatives will be as kind of the rest of the year?
Gisela Escobar: Well, for the full year, we would expect the contribution from our cost initiative to ramp up. Our estimate is that over a 3-year period we will reduce our total costs by approximately $800 million run rate annually. We expect close to $200 million of that to be recognized during 2015 as a whole, and that's spread out in a series of different initiatives. But it's very much -- obviously, in all the different cost lines, there's a mix of those effects. If you wanted to calculate just the effect of the currency depreciations, you could estimate that approximately 40% of our cost are in local currencies and that with devaluations of basically for the -- for about half of that being the Brazilian real, which devalued 20%, and half being the other currencies, which probably devalued on average, 12% I would say.
Operator: The next question comes from the line of Duane Pfennigwerth of Evercore.
Duane Pfennigwerth: Just on Brazil, it looks like based on the performance this quarter, the revenue performance this quarter, the margin performance this quarter and the reiteration of your margin guidance for the year that while Brazil is weak, it's performing in line with maybe what you expected. So I wonder if you could just talk about when you saw a step-down in corporate demand in Brazil, perhaps whether there was any incremental deterioration late in the first quarter and if it's behaving sort of as you expected on the outside of the year into the second quarter.
Cláudia Sender: This is Claudia. Let me try to answer your question. If I don't get everything you asked, let me now. So yes, we did see a decline in corporate demand, but that started way before the first quarter. It actually started right before the World Cup, and it didn't really pick up during the whole second semester last year and the first quarter this year. What we have managed to do is maintain our corporate market share, which was important, and even with our capacity reductions compared to other years, to previous years, we have managed to maintain our corporate market share. So this has definitely helped us manage the results or it had less -- fueled a little less the drop in corporate demand. We actually looking forward do foresee some sort of pickup, but it's too early to have real evidence of that. I guess one of the few reasons why we have managed to maintain our corporate market share is due to the strength and depth of our network, which not only covers the domestic market but also the international market. So for our regular corporate flyers, we do have the best products available.
Duane Pfennigwerth: That's helpful. So if I could just -- if you think about the international portion, Brazil point of sale and, I guess, the month of March -- I'm not sure if you're willing to comment on the month of March in particular, but did you see sort of a step-down in the month of March with respect to corporate international from Brazil?
Nicolas Goldstein: Yes, this is Nicolas Goldstein. Yes, what we observed is a decline during March. However, we were able to compensate this decline in Brazil with our networks with passengers coming from Argentina, Uruguay and other parts of the Southern Cone of America. We have probably 35% of our passengers from Brazil coming from other point of sale, not Brazilian, and other competitors have probably 10% only of this. So our capillarity really help us to stop this decline that we observed in Brazil right now. And we grew 34% in this feeding from other countries when we observe this new reality in Brazil.
Duane Pfennigwerth: That's great. And then if I could just ask you to expand a little bit more on what you mean by the early signs of a pickup, sort of what period that refers to? Is that a commentary on pricing? Is that international? Is that domestic? But in terms of early signs of a pickup, any additional commentary you could offer there is great.
Cláudia Sender: What we have seen is that there has been in the first month of the second quarter some signs of price recovery but with no signs of demand impact, so we do see some uptick in the corporate revenues going forward.
Duane Pfennigwerth: And sorry, that -- is that domestic or is that international?
Cláudia Sender: That's for both.
Operator: The next question comes from the line of Bernardo Velez of GBM.
Bernardo Velez Diego Fernandez: Gisela, you mentioned that regarding the guidance for 2015 that your macro and all your assumptions for the year have changed. I was wondering if you could provide us with a little bit more insight on these numbers?
Gisela Escobar: Yes, well, we had originally when we start -- when we had first published our guidance, we had assumed $85 per barrel jet fuel for the year and a BRL exchange rate of BRL 2.7 for the year. Today, when we look at our estimates for the second half of the year, we're looking at fuel around $77 per barrel for jet fuel. That's our current estimate. Obviously, it moves around. And on the real, we're looking at somewhere around BRL 3.10 for the second half of the year.
Bernardo Velez Diego Fernandez: Okay. Perfect. I was wondering if you could give us a little bit more color regarding your hedging strategy and specifically in terms of FX variations?
Gisela Escobar: Yes, so if you look at our strategy for our FX hedges, we hedge, as you know, on the Brazilian real. We have hedged at this point approximately $695 million for 2015. So that's a significant part of our total exposure, which we estimate at between $750 million and $800 million per year.
Operator: The next question comes from the line of Michael Linenberg with Deutsche Bank.
Michael Linenberg: A couple of questions here. I want to go back to the cargo questions when you were answering for Savi. You look at your freighter fleet and it's been shrinking, and I appreciate the fact that you said that you have to maintain some freighters to sort of feed the bellies. Have we seen the structural change in cargo? I mean, as I look at the size of your fleet and how big that fleet's going to become, I mean, we could be looking at maybe half a dozen freighters, maybe even less. I mean, as the world is -- as we think about air cargo out over the next few years, maybe 5 years or so, I mean, is it going to be a world where you're just not going to have any freighters and it's going to all be belly capacity? Or is there going to be this need to continue to have a few freighters on -- at your disposal?
Gisela Escobar: Yes, Mike. Well, I think there's definitely been a structural change because of the amount of the significantly larger passenger aircraft. And if you look in general at the composition of freighter capacity worldwide, belly capacity for the first time is higher than freighter capacity. So there has been, I think, a structural change in that sense as  these larger passenger aircraft come in with significantly more capacity for freight. From our perspective at LATAM, we had a structural change at the time that the merger between LAN and TAM occurred because LAN had historically had a significant amount of freighter capacity available to serve the Brazilian markets, which was no longer required when we were able to start utilizing all the belly capacity of the TAM long-haul flights. So in general, we have moved to a focus almost exhaustively on filling in the best possible way all of our belly capacity. But we do see that there will always be, at least from our perspective, a need for a certain amount of freighters. We feel that the current amount of freighters that we have in our fleet, the 12 freighters that we are currently operating, we would still like to see that reduced. And if you look at our fleet plan going forward, we do expect that next year, in 2016, we should be able to reduce 2 additional 767 freighters that we'll be able to return. So that would put us at 11 freighters in operations at the end of 2016. And we continue to look at opportunities to sublease some of that capacity because the current -- with the current demand environment we don't see the need for so much. But we do -- we will require some of them, basically for 2 things. One, because there are certain routes that we won't fly on the passenger side that are very significant freighter routes, for example, certain European routes, like Amsterdam for flower exports and things like that. And on another hand, we need a certain amount of freighters to be flying within South America because we have, for example, in Brazil, which is a very important import market for freight, doesn't have a significant amount of freight exports. So we need to take freights from our markets -- our other markets in the region to Brazil in order to fill up the belly capacity that's leaving Brazil. And that also requires a certain amount of freighter flights within the region. I hope that answers your question.
Michael Linenberg: Yes, that's great. That's very comprehensive. And then just a second question, so I think U.S.-Brazil Open Skies. I think it fully phases in, I think it's -- is it early January 2016? I may be off with the date. But the question is, it would seem with the amount of supply between the U.S. and Latin America, and it's been growing, a lot of these -- with Open Skies agreements in place, a lot of times you'll see key partners pursue antitrust-immunized joint ventures as a mechanism to really rationalize capacity. And it's interesting, because we haven't really heard anything on the American LATAM front. I know that American does have the antitrust immunity with LAN with some various carve-outs, but it would seem that there's a huge opportunity to do an ATI JV between American and LATAM. And like I said, I haven't heard anything on that front. I sort of point to Delta and Aeromexico, January 1 is their day, and they've already filed multiple applications. As you can tell, they want to fast-track that process. Where are you guys on that? And maybe the fact that American is going through  this integration with US Airways it's actually slowed down your ability to push that through. I mean, when does it kick in fully -- the full phase or the final phase? And sort of where are you guys as partners in potentially pursuing that type of relationship?
Cláudia Sender: This is Claudia. Well, we -- here in Brazil, the Open Skies -- the full Open Skies still needs the ratification from the president, so we're waiting for that in order to move forward and make any announcement in the future. So we're still waiting for the full ratification. But just to make another comment on that. In the recent months, what we've seen is actually the opposite of what's mentioned in the longer term. A lot of American carriers have been taking capacity away from the Brazil-U.S. markets, both American, United, Delta. So we have seen some capacity rationalizations in the Brazil-U.S. market.
Michael Linenberg: Okay, good. So we just have to wait for the president. And is that something that's imminent or could that -- that's one of those things where it could just drag on for some time?
Cláudia Sender: I don't think I'm in a position to answer to that. I think it depends on the presidential schedule. So it should happen this year, but it totally depends on the president.
Operator: The next question comes from the line of Daniel Guardiola with LarrainVial.
Daniel Guardiola: I would like to touch on leverage and how you said that -- I would like to know what are your thoughts on partially divesting your interest in LANPASS in order to accelerate the diverging process.
Gisela Escobar: That's not something that we are evaluating at this point in time.
Daniel Guardiola: Okay. And if could ask a follow-up question. I like to know what measures are you putting in place to reduce the volatility seen at the bottom line. And I want to know if could you please comment on what's that current amount of USD debt under TAM's balance sheet?
Gisela Escobar: Well, on the -- in terms of these FX losses from a nonoperational perspective, as you correctly mentioned, they have to do with the fact that TAM's functional currency is in reais. So the balance sheet is in reais. We have seen that we been able to reduce that over the past 3 years. If you look at the TAM balance sheet, we have reduced that exposure from about $4 billion at the time of the merger to approximately $600 million today. So there's been a significant reduction. Now there's a portion of exposure that's on the LATAM sort of consolidated balance sheet to different currencies, including the real, which we're not able to mitigate as easily. But what we have been able to do, we've done, and there's still a certain -- we're still expect that $600 million to be reduced probably by -- we're aiming to between $300 million and $400 million by the end of this year. And that's done basically through [indiscernible] -- I mean, through LATAM.
Operator: The next question comes from the line of Stephen Trent with Citi.
Stephen Trent: This question might be one for Claudia. I'm just curious, you guys mentioned on the previous call this plan to, I guess, shift around some of your domestic Brazil capacity onto some of these regional routes that had stronger yield opportunities. And I'm just wondering, kind of roughly speaking, where you are with that plan?
Cláudia Sender: Stephen, thanks for the question. Yes, we have already announced 4 new destinations here in Brazil, which are actually regional destinations. Well, I don't know if you followed, but São José dos Campos, Jaguaruna, Bauru and Juazeiro do Norte. Part of it has already been implemented. Part of it is going to be implemented during the second quarter. They're all already on sale. But I think the most important things that we've done in terms of reshuffling our network is strengthen our Brasilia hub, which we have found has been the optimal way of covering the flows within Brazil, within the domestic market, but also opened new opportunities to serve international destinations for the Brazilian inhabitants who live above Rio de Janeiro who don't want to fight down to Sao Paolo and then up to the U.S., for example. Just to give you one number, our connectivity in the last couple of years in the Brasilia airport has increased by 25%. The number of the destinations has grown from 30 to 48, but we have more than doubled the number of O&D served by that airport. So the way we are looking at our network as a whole has changed quite significantly in the past 2 years. So it's definitely what we mentioned in the last call.
Stephen Trent: Okay. Claudia, very helpful, and I did see the new routes. And I guess -- so part of the message is there's still more of this reshuffling to come looking into 2Q, for instance.
Cláudia Sender: Absolutely.
Stephen Trent: Great, great, great. Very helpful, Claudia. And just one very quick follow-up for me as well for the general team perhaps. If you could refresh my memory where you are -- where TAM is in -- excuse me -- LATAM is in terms of taking TAM's fleet and parking them on the balance sheet in Santiago? Where we are in that process, if you could just refresh my memory?
Gisela Escobar: Yes, Steve, we still have a little bit more to do on that front. But we have done, I'd say, the most -- the large part of it. We have a $600 million exposure on the TAM balance sheet still, and we expect that we can reduce that to approximately $300 million over the next 3 or 4 quarters.
Stephen Trent: Okay, Gisela. And I think when the carriers merged in mid-2012, the balance sheet exposure for TAM was somewhere closer to $4 billion, does that sound right? I'm not sure if I had the right number in my head.
Gisela Escobar: Yes, that's exactly right.
Operator: The next question comes from the line of Joe Moura with Bank of America.
Joe Moura: I just have one quick question regarding the implementation the Sabre technology. If you could please elaborate more on that? How long is it going to take before they're operational in TAM, in LAN? And most important, we know that Multiplus has implemented an important change in use [ph] strategy and that they are using the Amadeus technology. Does the adoption of Sabre by TAM have an impact from Multiplus at all? And if not, why the adoption of a different technology in Multiplus?
Cláudia Sender: This is Claudia. We are working on the calendar for implementation. It's something that could take at least 2 years, so we're looking at 2017 implementation. We want to make sure the implementation is seamless with no impact on our revenues, on our client, especially on the travel agents. So we want to make sure that we do it with no rush and with all of the benefits that it can bring us. We're absolutely convinced that the technology will help us not only have a seamless experience between the 2 carriers, since we are moving into the same host [ph], but also a much better experience for our clients. In regards to Multiplus, we actually have to be connected, and the new connections will have to be developed. So I don't see any difference in -- and we'll have --  what make [ph] the connections between Multiplus and the carrier but not necessarily change the entire  Multiplus platform. You can actually use Amadeus products on Sabre platform and vice versa.
Operator: The next question comes from the line of Rean [ph] Pavis [ph] with Santander Asset Management.
Unknown Analyst: I was wondering if you can refer to the cost reduction of the company, more specifically in terms of order rentals and landing fees where there are saving for about $40 million in compare with the first quarter last year and LATAM operating expenses, where there are saving for almost $50 million. So we have almost $100 million in cost reduction. The question is, do you expect the amount of reduction in the following quarters?
Gisela Escobar: Yes, thank you. We have -- I'd say those 2 lines in particular have a significant portion that are in local currency. So a part of that has to do with the devaluation of the local currency that when you look at it in U.S. dollars, obviously, that you see that those costs are reduced. On the other hand, we have also some initiatives that we've been implementing that have an impact there. Part of it has to do -- especially when we look at the line of other costs, with a new transportation management system within the company. So it's a series of small initiatives but that together add up to savings especially when you look at it on an annual basis. But we've basically renegotiated all of the grounds transportation contract that the company has throughout South America. We've also renegotiated our contracts with security guards in all the different -- in all the countries where we operate, our policy with transport vouchers. And also we are looking at a new contract negotiation for our help desk. Those are things that we've already implemented during the first quarter. We also have a certain tax initiative that has to do with the value-added tax in Brazil, where we have been able to recover. And this has been ongoing, and part of it was done last year as well. But where we have able to recover value-added tax in previous periods in Brazil basically as a result of looking at the tax credits that we had generated in previous periods. So it's a mixture of a series of different initiatives. We do expect our cost per ASK x fuel to continue to decline for the rest of the year. And I wouldn't be able to tell you if it will be with the exact same order of magnitude as during the first quarter, but we do expect that trend to continue going forward.
Operator: The next question comes from the line of Ari Friedman with Cobalt Capital.
Ari Friedman: I wanted to ask a question about the other operating expenses. I see that was down on the reversal of tax contingencies in Brazil. I was wondering if you could explain a little bit what that is and if that's something that is sustainable going forward?
Gisela Escobar: Yes, that was sort of in line with what we were just discussing in the previous question. In Brazil, there's a value-added tax that is basically paid with all -- on all different cost lines. But what has occurred and what sort of we do on an ongoing basis is basically a revision of the tax credits that were used in previous periods, and that revision generates a  tax credit for -- generated a tax credit this year as a result of rectifying the taxes that were paid in previous periods. This is ongoing in the sense that we do continue to do this review going forward on an ongoing basis, and we do expect that we will see a future benefit of this during the next 3 quarters and also on an annual basis going forward, probably smaller than what we saw during the first quarter of this year. But it probably is on...
Ari Friedman: Great. And then one follow-up question. I'm not sure if I missed this. What is the constant-currency yield estimate that you guys have embedded in the guidance?
Gisela Escobar: Right now for the second quarter -- I mean, for the second half of 2015, we are working with a 3 10 0.
Ari Friedman: No, no, not currency. For the actual constant-currency yields, the actual pricing.
Gisela Escobar: We haven't disclosed that number.
Operator: The next question comes of the line of Carlos Louro with JPMorgan.
Carlos Louro: I have just one very quick question here. Given the weakness of market in LATAM and especially in Brazil, I would like to know if you could give us a little bit of color on what you're expecting for the second quarter in terms of margins and traffic?
Gisela Escobar: Yes. Well, we -- as you know, we can't -- our guidance in terms of margin is only annual. So we can't provide too much detail regarding specifically the second quarter. If you look historically at our margin on an annual basis, the second quarter is the low season. So we tend to have the lowest margins of the year in the second quarter. We would expect them, therefore, in that respect to be lower than, obviously, the guidance number that we have for the full year. It's the low season for all of our business units, domestic as well as -- domestic passenger, international passenger as well as cargo. So generally weak.
Nicolas Goldstein: There's going to be a small tweak due to this year we don't have the World Cup that affect us last year, and this is going to affect only 15 days on June. This is the only different thing from last year.
Operator: We have a follow-up question from the line of Savi Syth.
Savanthi Syth: Just wondering on the financing side, given the success of the EETC I was wondering if any thoughts have changed on -- I think the last time you talked about maybe doing 50-50 finance and operating leases. Has that changed given the success of the debt rate?
Gisela Escobar: No, Savi. For now, our fee commitments for -- both for 2015 and for 2016, our estimate is still to finance approximately 50% with financing basically these EETCs, and the remaining 50% would sell in Esoc [ph], hasn't changed.
Operator: At this time, there are no further questions in queue.
Gisela Escobar: Great. Well, thank you, all, for joining the call today. And if you have any follow-up questions, please contact us by telephone. Thanks very much and have a great day.
Operator: Ladies and gentlemen, thank you again for joining us today. Please feel free to contact our Investor Relations department if you have any additional questions. We look forward to speaking with you again. Have a great day.